Operator: Thank you for standing by, and welcome to the Sandfire Resources FY '25 Financial Results Briefing. [Operator Instructions] I would now like to hand the conference over to Brendan Harris, Chief Executive Officer and Managing Director. Please go ahead.
Brendan Harris: Good morning, everyone, and welcome to our results call. As always, our executive team is here with me today, and I'll pass to Megan shortly to walk you through the key numbers. But before we start, I'd like to acknowledge the traditional custodians on land on which we stand, the Whadjuk people of the Noongar Nation as well as the First Nation's people of the lands on which we conduct our business. As always, we pay our respects to their elders and leaders past, present and emerging. Turning to our results highlights. Our TRIF remained at the lower end of industry benchmarks at 1.7 as the number of recordable injuries sustained across our business increased from 15% to 16% in FY '25. So I'm sure you'll agree, 1 injury is 1 too many, and we remain acutely focused on eliminating high potential incidents that can cause high consequence injuries and have a lasting impact on our employees, contractors and their families. Nothing is more important. And as we know, a safe business is always a more productive business, and I'm particularly proud of the way our teams responded to the myriad of external challenges they faced across the last 12 months, including the generational rain event in Botswana and power outages at both MATSA and Motheo. Their tenacity and the growing resilience of our operations shown through as we delivered a 12% increase and group Copper equivalent production to 152,000 tonnes to finish the year within 1% of annual guidance, an outstanding result. But it's never been just about volume for us. It's the combination of volume that delivers value that counts, which in itself, of course, requires discipline, which brings me to costs. While we're starting to see some pressure, which I'll unpack later. Our unit costs at MATSA and Motheo of $78 per tonne and $40 per tonne across FY '25 still compare favorably with the guidance we provided for both assets 2 years ago. Quite a rarity in an industry that's been plagued by inflationary pressure, particularly in a number of developed economies. And that's why we've also seen margin expansion in FY '25, for MATSA to 45% and Motheo to 60%. So looking at this holistically, the consistency and predictability we have been striving for at MATSA get more success at Motheo as we ramped up beyond expanded nameplate capacity and generally good cost control at both operations delivered record sales revenue of $1.18 billion and a 46% increase in underlying EBITDA to $528 million for a margin of 45%. And just as our business has been fundamentally transformed across the last 2 years, so too has our balance sheet as we charge towards our targeted net cash position. That's the perfect segue for Megan. Over to you.
Megan Jansen: Thank you, Brendan. I'm pleased to present our financial results for FY '25. As Brendan touched on, we have delivered record operating and financial results for the year and a return to profitability underpinned by robust operating and cost performance across the business and healthy pricing for our key commodities, all of which delivered an underlying EBITDA of $528 million for an underlying profit of $111 million at a statutory profit of $90 million. Digging deeper, at Motheo, the underlying operations EBITDA increased by 78% to $318 million at a 60% margin, underpinned by strong operating and cost performance and healthy commodity prices. The exceptional ramp-up to 5.5 million tonnes per annum has allowed the operation to realize economies of scale benefits, delivering an operating unit cost of $40 per tonne, 4% below our initial guidance of $42 per tonne. At MATSA, the underlying operations EBITDA increased by 20% to $292 million at a 45% margin, primarily driven by higher commodity prices and lower TCRCs, which more than offset a modest increase in underlying operating costs, primarily associated with a significant rise in stope turnover, mine backfill and waste volumes in line with the mine plan for an operating unit cost of $78 per tonne, which is in line with revised guidance. Below the line, our D&A expense of $315 million continues to reflect the acquisition of MATSA in FY '22 and includes a $73 million D&A expense relating to Motheo, which increased by 28% in comparison to the prior corresponding period, in line with the increase in contained copper mine. Our overall underlying net finance expense of $44 million decreased by 26% in FY '25 as a result of the significant reduction in net debt during the year and the lower margin that our new corporate revolver facility provides. Our underlying income tax expense increased to $57.3 million for an underlying effective tax rate of 34% as the group returned to profitability. The group's underlying effective tax rate continues to be impacted by the limited ability to recognize benefits associated with tax losses in Australia and the U.S.A. Total capital expenditure across the group remained largely unchanged from the prior year at $208 million as the A4 open-pit development was completed for a $49 million investment and we invested a further $79 million in underground development at MATSA to open additional mining fronts. Capital expenditure in FY '26 is expected to increase to $230 million as we invest $25 million on the construction of the new tailings storage facility at MATSA, absorbed the stronger euro to USD exchange rate and invest further $9 million to complete the A1 infill drilling program and free feasibility study at Motheo. As Brendan touched on, our business and balance sheet have been fundamentally transformed across the last 2 years. We delivered a significant $273 million or 69% reduction in net debt to $123 million at the end of FY '25 demonstrating the cash-generating capability of our quality operations. In accordance with our newly established capital management framework, no dividend has been declared in respect of FY '25. As we continue to prioritize the de-gearing of the balance sheet and rapidly move towards the net cash position, which we anticipate will occur during FY '26. These outstanding outcomes across our business continue to give us confidence for the future, and we will remain financially disciplined. With that, I'll hand back to Brendan.
Brendan Harris: Thanks, Megan. That's a great summary. And no doubt, the broader slide pack that we released earlier today will be equally helpful for those who love the detail. So to the outlook. The 63% increase in copper equivalent production delivered over the last 2 years has clearly established a stable and resilient platform from which we expect to increase production by a further 2% to 157,000 tonnes this year, which I might add, remains unchanged. In saying that, having contemplated the latest market estimates, we thought it would help if we provided the expected production profile across FY '26. Specifically, our expectation that production will be somewhat skewed with around 45% of half 1 metal produced in Q1 and around 48% of full year metal produced in the first half. This, of course, reflects usual variability in MATSA's mine plan and recoveries and an increasing contribution of high-grade A4 or at Motheo across the year. Importantly, our plans at Motheo also confirmed that we're well positioned to maintain copper equivalent production of circa 60,000 tonnes out to FY '30, having further optimized our pit shareholder development plans and increased processing capacity beyond the expanded nameplate rate. On the other side of the equation, at MATSA, we expect unit costs to increase by as little as 1% in euros, which I might add is less than the underlying rate of inflation. This translates to a larger 10% increase to $86 per tonne at a euro to U.S. dollar exchange rate of $1.19, noting the spot rate is closer to $1.16 today. Of course, I know you'll all have your own exchange rate assumptions. Coincidentally, and as we flagged in July, we also expect unit costs to rise by 10% to $44 per tonne at Motheo. As the A4 open-pit achieved commercial production and waste removal costs are increasingly expensed with limited cash impact, additional haulage and handling costs are incurred given A4's greater distance from the processing facility, which is adjacent to T3 and the recently mandated 50% increase in the power tariff takes effect. More broadly, our exploration and evaluation expense is expected to increase by $6 million to $46 million in FY '26 as we ramp up activity within the Iberian Pyrite belt and Kalahari Copper belt. I should note, it's also increasingly likely that this expense will be weighted towards the second half as our regional program in Botswana is currently suspended while we work to enhance the local approach to risk management, which Jason is now overseeing. This work will ultimately enhance execution capability and enable us to further accelerate our exploration program that has been designed to identify a minimum 15 years of life from our strategically positioned processing hubs within 5 years. And finally, at Black Butte, there's no change in status. The ongoing pre-feasibility study that is scheduled for completion in the December quarter of this year is expected to enable us to define the optimal pathway to maximize the value of our effective 87% interest in the project. we're producing the right commodities at the right time. We have the right balance sheet and we have the right strategy. With this combination, we're ideally positioned to navigate and prosper in the current environment. With that, let's go to questions. Thank you.
Operator: [Operator Instructions] The first question today comes from Kaan Peker from RBC.
Kaan Peker: Brendan, Megan. Just a quick 1 on the Motheo resource reserve update. I've noticed that the A1 resource update only appears to incorporate some limited drilling. Maybe if you can give an update on that and when we expect the reserve to be announced? And then secondly, an update on the A4 extension and maybe the T3 footwall mineralization?
Brendan Harris: Thanks, Kaan, appreciate the question. So maybe on the A1 drilling, we're nearing completion there. We're within around 4 to 5 weeks of completing that drilling program. It's been an extensive program. Of course, as you would know, once you complete the program, you've got to receive all of the [ assays ] and then you've got a detailed process to work through, which very much also requires independent quality control processes. What that really means in summary is that we're anticipating [indiscernible] in A1 reserve in around the second -- late second -- fourth quarter, I should say, of this financial year, so late second quarter of next calendar year. So that's really the status, and we're hopeful of -- I've seen similar levels of conversion -- high conversion rates from resource to reserve based on what we see today, but we won't know until, obviously, we've completed that work. Maybe Jason, if you want to just go through that broader work stream that we've had underway testing the extensions, the A4 fold repetition, the footwall at T3, et cetera. That's it.
Jason Grace: And thanks, Kaan, for the question. So from our point of view, I might start with A1. If you look at it over FY '25 and our plans for FY '26, we'll do a round about 26,000 meters of drilling there. The bulk of that will be infill drilling, and it will also be confirming the extent of that potential resource. So noting that during that infill drilling program, we largely believe that we defined the strike extent of that and largely define the down plunge. We have been testing that further. We haven't seen any material change in that. And so the bulk of our drilling there is obviously then infill drilling, which is going to support the pre-feasibility study. And as Brendan said, enable us to report an ore reserve on that and move forward with the development of that project. If I come back to A4 and T3, so the A4 repetition drilling, we completed that drilling in FY '25. The results of that were mixed. So we did see an extension of the stratigraphy, it confirmed our interests. And we did see an extension of mineralization. So at this stage, we are evaluating that. But where I sit today, I only expect potentially some incremental additions there, particularly in the footwall area. If we come back to T3 footwall drilling, we did complete some of that during FY '25. And particularly when you note that the interpretations of both T3 and A4 have changed quite significantly. Overall, I've been very, very happy with, if you like, the minimal change that we've seen in ore reserve tonnage and contain metal, right? So in my mind, that confirms that the drilling spacing that we have there on both of those deposits is giving us robust estimates when you can estimate it on 2 different underlying basis there and come up with pretty much the same number. If you look forward into FY '26, we are planning an additional 7,000 meters of drilling at T3 and A4. A lot of that will be -- and with the new enter, we saw some of our materials go into inferred. So we'll be looking to promote and confirm that material and also look at some incremental additions along strike at A4. So broadly, if I look forward, we'll be able to publish a lot of those numbers in our next resource and reserve update. But at this stage, we're just looking at firming up particularly T3, A4 and also A1 getting that up to a low reserve level.
Brendan Harris: And maybe just, Jason, great summary. The only other thing I'd add which we're really, I think, pleased with is having fundamentally changed our view with regards to the structural controls of mineralization that we should note, we're also seeing in A1, that all of the work that's been done has confirmed that geological interpretation. So one, as Jason said, we're seeing very limited impact on the numbers as you've seen today. So one, that's good. Secondly, it's really helping us as we think about our targeting across the broader basin and particularly within the Motheo hub.
Operator: [Operator Instructions] The next question comes from Adam Baker from Macquarie.
Adam Baker: Thanks for the outlay of the capital management framework. It appears to be a pretty good indication that a dividend would potentially be on the cards once you reach that committed net cash position, which could occur in the next 6 months or so. How should we think about -- how you're thinking about dividend policies moving forward for Sandfire?
Brendan Harris: Yes. Thank you, Adam. Look, maybe I'll just pass to Megan.
Megan Jansen: Thank you, Adam, for the question. And maybe to highlight in our presentation pack on Slide 13, we have included our formal capital management framework. As we have are approaching and moving closer to that targeted net cash position, it's the right time to really formalize our thinking in relation to that. Having said that, Adam, I'd say what you see in the presentation is nothing new. It's broadly consistent with how we've been talking about that capital management framework over the past 6 months or so. And so essentially, the framework is going to -- is designed to maximize total shareholder return and per share metrics. Underpinning all of that is our preference for a strong balance sheet and a preference through a net cash position. And then going beyond that, we prioritize optimization of free cash flow and investment in safe, consistent and predictable performance. Following on from that, prudent investment in infill and extension drilling programs to increase our reserves. So we think very much around that similar to sustaining capital. Beyond that, excess capital will be deployed in a manner that best maximizes total shareholder returns. So discretionary investments will need to basically compete with the alternative of either shareholder dividends or share buybacks. As you touched on, we are moving towards that net cash position. As I touched on in my speech, that will occur sometime in FY '26, where we do have excess cash on the balance sheet and only then will we contemplate how do we best return that to shareholders, Adam. So we've got franking credits available to us in the tune of $262 million at 30 June 2025 and that presents an efficient and logical mechanism to return cash in the first instance. Brendan, do you want to add anything to that?
Brendan Harris: Look, I think that's a great summary, Megan. Maybe just a little bit of additional color around the edges. You, I think, really inferred to this. But one of the things we're quite passionate about is you don't work really hard to get your balance sheet into a net cash position and then actually make decisions that immediately push you back in the other direction. So again, in simple terms, we think about returning excess cash when it's on the balance sheet, not when we can see it forecast in a spreadsheet. So we need to see that money on the balance sheet. The second thing I might just add, Megan, and it's a really good point. I've seen some people commenting today. And I think it's a good line of questioning around are you going to have a dividend payout ratio. I think our dividend payout ratio for us is somewhat problematic to set that in stone because as Megan just enunciated, we've got a limited level of franking. And given we don't have a asset generating profitability and paying tax in Australia, we're not going to rebuild that. So for us, of course, once we've hopefully at a point in time, distributed those franking credits, we'll be in a position where we really need to contemplate the most efficient way to return capital to shareholders, which I think Megan described well is when it's in excess of our requirements can also be in the form of a buyback. And that's really -- will be a value question or an unfranked dividend. So we need to think about that deeply. But I also want to stress something and it's really important. The copper market looks as good as any market, I think, in our industry. The likelihood that it tightened substantially over the next 3 to 5 years, I think is the probability is high. And therefore, I believe that our shareholders see us and have seen us over a number of years as a company that is growing and can grow into a tight market. And so for us, if we can find opportunities to grow, to significantly add value to shareholders, that is obviously something that we should be contemplating and that's really the point that Megan is making around competition. It's always a competition and the relative return or value that we can generate by doing 1 or all of those things. So hopefully, that provides a little bit of clarity.
Adam Baker: Yes, that's clear. So it has been more of an evaluation of where you're sitting and ad hoc payments as opposed to just having a formal dividend payout ratio moving forward just to give yourselves a bit more optionality?
Brendan Harris: 100%. Because, of course, we don't want to lock ourselves in to in a rational, if you like, approach to returning capital if there's a better way than simply paying for instance, an unfranked dividend.
Adam Baker: That's clear. I just wanted to ask quickly on the situation of the bushfires in Spain. I know this isn't an operational update, but just wondering if you had a quick comment to see if there's been any impacts there?
Brendan Harris: Now look, not unlike Australia, going from the wettest winter on record to incredible heat spell and severe bushfires in Spain and particularly Portugal, I might add. Look, we had a very, very short outage in the underground at Magdalena. And that was purely cautionary, and it was around just smoke in the area and really wanting to again prioritize the health and well-being of our people. And when I say short, very, very short, there's been no broader impact for us. Obviously, it's something we think about in terms of how we can help local communities. But there's not been any major issues in and around our mine. So we're watching it more so as an interested member of the community, more broadly thinking to Portugal as well. Obviously, from an exploration perspective, we've also taken preemptive action in some areas where we think the risk is higher in this sort of level of heat to actually suspend drilling activity temporarily. And similarly, I think in Portugal. So we'll continue to watch that closely. Thanks.
Operator: The next question comes from David Radclyffe from Global Mining Research.
David Radclyffe: So my question is more of a follow-up to Kaan's question on the reserves. And I guess coming back to the target you laid out last December, I know you've been focused on obviously moving to net cash. But do you think the current exploration spend is high enough to deliver that 15 years of life you're targeting within the 5-year period given that we're already 1 year through that period?
Brendan Harris: Yes. Look, we've always said -- and again, good question. We've always said that it's a multiyear plan, 5-year plan. And we've always said that the impacts will be more so back-end loaded. I think I've said many times that when you look at, for instance, MATSA, it's firstly, about confirming our thesis and confirming the areas particularly of interest and highest prospectivity, which I think the last 12 months has really aided. And of course, I'm talking primarily around areas like Olivo, San Pedro and then particularly down depth in the MATSA [ 2 type ] area, a down dip into the depths there. Now we've obviously said again today that we're going to complete an exploration drive out into that area such that we can really intensify and target that drilling program. And of course, as you know in an underground, you never can do these things quickly. You've got to build up a body of evidence or body of data. So again, we've always said that particularly MATSA, it's going to take time. When we look at Motheo, it's very much more about regional exploration. As Jason said, we still see A1 coming into the mix, which is really important, and then we see some incremental opportunities, but it's really about discovering those new ore sources, which we have no shortage of targets. But the most important thing is around having a level of discipline at how we spend that money. I would make the very clear observation as we have success, particularly in a place like Motheo, that spend will go up because obviously, we could find ourselves having to drill out and confirm a resource. We'd like to think so, and then ultimately having to define reserves. So we're very comfortable at the moment. And one of the things we've thought very carefully about is exploration is an exciting area, but it's also a place where if you don't have discipline, you can destroy capital very, very quickly. And we actually think at this stage, we've got the rough balance right.
Operator: The next question comes from Ben Lyons from Jarden.
Ben Lyons: On Slide 25, regarding the longer-term production profile at Motheo, it's great to see you're doing what you've previously indicated in terms of trying to bring forward some of that metal and smooth out the production profile. I can clearly see that in the lower chart. Just trying to interrogate the upper chart there where you call out the deferred stripping costs, but then there's also a bit of a reference to what I would regard as other capital being the TSF investment. So just trying to sort of correlate between the 2 charts there. So if we hold the metal strip reasonably flat over the next few years at Motheo, which would be a fantastic outcome, is there anything lumpy to expect on the CapEx side in addition to that deferred stripping that you've called out in the upper chart?
Brendan Harris: Yes. Thanks, Ben. Good question. I'll pass to Megan in a moment. I'll just make a couple of observations. So firstly, we've gone back and looked at the deferred stripping across, if you like, the last 2 years and then out 3 years, so across the 5-year period, it's important that we hold ourselves to account internally as much as externally and what we see across that period is the deferred stripping budget is plus or minus within $5 million per annum over that time. And what you're seeing is just a resequencing and Megan can talk to some of that. The reason we don't go out beyond FY '27, for instance, with the third stripping is because of things like A1, there's a point at which we may choose to sequence that into the production profile. So it starts becoming less and less valuable the further we go out. So hopefully, the guidance does help you. Of course, you can go and look at what we've provided previously. And you'll see what I'm talking about how each year things have shifted as we've resequenced if you like, the pit shells and optimized for value, and that's a lot of what Jason has talked about in recent times, which actually obviously helped us a great deal with regards to the floods. But maybe, Megan, if you want to talk about how some of those profiles have changed Obviously, what we see directionally and then perhaps around lumps of capital. You talked about the TSF, you've talked about a few other things.
Megan Jansen: Yes, happy to. Thanks, Ben. And just adding a bit of color on the back of the deferred stripping at Motheo. The graph does so directionally, we're expecting a bit of a step up in FY '27. That's primarily reflecting a major cutback in T3 Stage 4. Also noting at that time, we'll be in all bound at Motheo A4. And so the focus will be on that waste stripping in Stage 4 at T3. And then looking beyond the profile after '27, you start to see that coming off a little bit. In terms of the one-off lumpy items in the Motheo capital in FY '26, and Brendan touched on a few of them. I think taking a step back, there's in the range of $20 million of investment in what I describe as more strategic items for Motheo in FY '26. The big item is the A1 and completion of the infill drilling program and the pre-feasibility study. And so that's in the range of $9 million to $10 million. And then there is also some important items that we carry forward from FY '25 into FY '26. And probably the most notable of that is the plant debottlenecking, which we've spoken on previously, which gives us just that extra capacity in the back end of the processing circuit. At MATSA, just closing it out. We've got the investment in the first part of the TSF in FY '26. So we see a $25 million investment associated with that. And the other piece that's obviously playing out at MATSA is at upward pressure from a stronger euro. And so the team has done well given the investment required in TSF in 2026 to also absorb that stronger euro at the same time.
Ben Lyons: Megan. Maybe just a second 1 on Black Butte, please. So Brendan, Hudbay undertook a very creative transaction by bringing in a passive capital partner into North American copper units and really reducing the CapEx. And looks like a pretty creative and accretive deal. I think we've only ever sort of really considered about Black Butte being a binary Sandfire build at or Sandfire divested kind of decision point. But as you get closer to completing the PFS, I guess you're probably starting to think along some other sort of opportunities as well, just whether you'd be able to sort of give us an update on the current thinking about Black Butte and whether it has to be 100% Sandfire or not necessarily?
Brendan Harris: Look, thanks, Ben. And yes, you're right. Look, we obviously follow these things closely as well. And I think the deal that Peter and the team at Hudbay did certainly look to be a good one. Congratulations to them. From my perspective, I continue to believe that there's real value in not making decisions until you have to, but when you do, you move with intent. And where I see us today is in a very good position because the drilling that we've done, we're confident we'll have a meaningful impact on the quantum of the resource, contain metal. We expect to also show improvement and we obviously think that's going to help the project's economics, given that, that lower copper zone is the high-grade ore, which really is going to drive the economics. Of course, all of these things are dependent on the markets. And as we've mentioned, the markets are supportive, and I think we're seeing consensus also generally rise, so we monitor those things. So we still find ourselves in a very good position. We expect the updated or new PFS to be completed by Sandfire America towards the back end of this calendar year. And with that, we expect the updated mineral resource and ore reserve estimate, also including Larry, I might add. And so what will be interesting is to get, one for the economics. But two, the life and whether or not this operation has the potential to produce for 10 to 15 years rather than less. And so they are the things we're watching. In addition, obviously, peak production is important. Historically, Black Butte has been thought of as having a peak production rate of somewhere in the order of 30,000 tonnes of contained copper in the early years, drifting back towards the mid- to low-20s across a sort of 8- to 10-year life. What will be interesting is to see whether that's changed. It certainly would be helpful if it grows. We're watching that closely. And I think the Sandfire America team is doing a good job with our support. I think then, therefore, one of the elements that we would consider, and I go back to the earlier point, we have all of the options at our disposal today. And again, we watch these things with interest. It is not a large project. So when you're talking about the sort of scale and quantum, it's probably a little bit more challenging to bring in a meaningful partner because the question is whether you're left with something that in and of itself is material for yourself. So look, again, we haven't made any decisions. I think we're in a really good position. We think the environment in the U.S. is good. Talk, obviously, I haven't seen the news wise in the last 24 hours, but copper being added to the critical minerals list probably overdue. We're certainly, again, very optimistic as to what the study will tell us. And as we expect, at that point, we'll be able to more clearly define the pathway for Sandfire as to how we maximize the value of our 87% effective interest.
Operator: The next question comes from Tim Hoff from Canaccord.
Timothy Hoff: I've put that question in there. So, I'll move it on.
Operator: No problem. [Operator Instructions] The next question is a follow-up from Kaan Peker from RBC. .
Kaan Peker: Just on the second half skew for Motheo, I assume this relates to the ramp-up of A4 and the higher feed grade into the plant. And then maybe why the second half skew for MATSA, if you can get a bit more detail around that.
Brendan Harris: Yes. Okay. So thank you. And Jason, you can fill in around the edges. I'll pass to you in a moment. So you're right. I mean, at Motheo, effectively, you've got the progressive ramp-up of A4 and its contribution. And obviously, it's higher grade ore will make a difference as it feeds into the mill. We've said in our release, we talked about it gathering momentum, which we certainly expect it to do, particularly through the back end of this half and then more so into the second half. So really, that accounts for the large skew that we expect to play out there. And then if we go to MATSA, I think the key thing to be aware there is we have typical variability in the mine plan, depending on where we're mining in the sequence, for instance, if we're in [indiscernible], which is typically a slightly more challenging ore in terms of recovery and other factors, those sorts of things will always play through. And that's really why at MATSA, we see that first quarter, second quarter skew which is very similar to the numbers I talked about at the group level, sort of 45, 55. But again, I stress for the year, we're not seeing a significant skew at the group level. It's closer to 48-52 half-on-half. So both MATSA and Motheo have quite a meaningful pickup in the second quarter relative to the first quarter and then we start to see relatively consistent production at MATSA, particularly across the second half, those 2 quarters, whereas Motheo itself just continues to build momentum. And it will finish, I guess, with its stronger quarter occurring in Q4. But maybe, Jason, around the mine plan itself, is there anything specific to call out?
Jason Grace: Starting with Motheo. Brendan is absolutely right. If you look at the driver is grade increasing, particularly to the second half there and that grade increase is dominantly due to a higher contribution from A4 coming in. If we look at MATSA, and we're all aware that we do have higher levels of variability within those ore bodies in terms of grade and metallurgical characteristics. If you look at it throughout the year with overall copper, we'll start to see that step up after the first quarter, but we'll see a bit of variation there going into and higher zinc levels coming into really the -- if you like, Q2 through to Q4, driving some of those key differences. And really, that's about it.
Brendan Harris: I think it's always important to remember that, Jason, that you get this compounding effect. So in some of these ores, we might have slightly lower grade and the MATSA a bit more challenging. You also have lower recoveries. And then the opposite is true. When you get into the, let's call them, the sweeter spots, you not only get the better polymetallic type grades, but often you get higher recoveries going with it. So again, that's why you tend to see this variability. I might add the fact that we're -- this washes out across 3 mines for us means that, at least in my experience, you'll have your own in the context of a polymetallic mining operation, the level of variability that we're seeing is actually -- is not significant compared to what I've seen in the past.
Kaan Peker: And if I can just squeeze another one in. I think we talked about the T3 Stage 4 cutback, but what about the A4 Stage 2 cutback. When does that come in to be spent?
Jason Grace: Sorry, that was the A4 stage. We're already in there, Kaan. So we're doing that currently as we're moving down in stage 1.
Brendan Harris: Yes. And I think, Kaan, in full transparency, we've been fairly open in the fact that we saw the generational rain event and flooding. And so rather than park up equipment, that enabled us to move equipment initially across to T3 and accelerate some of these programs because, again, that will not only use the equipment that otherwise would have set idle but also it will set us up well for the future. It puts us, if you like, ahead, creates additional flexibility. But the second thing at A4, as we continue to work through the fact that the aquifers there have been heavily recharged and we've, therefore, got slightly lower rates of, if you like, production than we would have anticipated 12 months ago, we're also utilizing some of that equipment to do exactly what Jason just said, which is accelerate Stage 2. So again, it's all about, I guess, using the equipment that's at your disposal in the most productive way that you can.
Operator: At this time, we're showing no further questions. I'll hand the conference back to Brendan for any closing remarks.
Brendan Harris: Well, thank you, everyone. I know it's one of those days for people on the call. We really appreciate your time. I did just want to thank my team, but I also want to thank the broader Sandfire team for their incredible efforts in the last 12 months. The company is in a very strong position. But it's always about the next day, the next week, the next month and the next year in mining. So we're staying very, very focused. As I said, we like the fact we've got a very simple strategy, and it's about executing it consistently and successfully. And we're looking forward to speaking with you again in September or October on the basis of our first quarter results. So thanks again.